Conversation:
Operator: Welcome to Surgical Science Q4 Report 2025 Presentation. [Operator Instructions] Now, I will hand over to the speakers, CEO, Tom Englund; and CFO, Anna Ahlberg. Please go ahead.
Tom Englund: Welcome to this earnings call for Surgical Science for the fourth quarter of 2025. My name is Tom Englund, CEO. And with me today, I have our CFO, Anna Ahlberg. We will first present a summary of quarter 4 and our results, and then we will have the Q&A session. We are pleased that like quarter 3, quarter 4 was a clear step in the right direction for Surgical Science. We had sales of SEK 269 million and grew by 15% adjusted for currency effects. And our license revenues almost exclusively from robotics companies were the highest ever reported at SEK 92 million, which was an increase of 21%. The adjusted EBIT amounted to SEK 46 million or 17%. On December 8, last year, we presented our new financial targets of annual sales growth of 10% to 15% with profitability of more than 15%. And it's gratifying to see that we're now delivering fourth quarter results in line with these targets. So if we move over to Educational Products. Performance in Educational Products was mixed with growth of 4%. North and South America showed strong growth of 43% with a good distribution between the different countries. And we are seeing a clear recovery now in this region compared with previous quarters with a higher customer activity and bigger sales pipelines. And we're also cautiously optimistic about the future. Asia, on the other hand, saw sales decline by 21%, driven by a continued challenging market situation in China with generally lower activity and demand. One of our strategic goals is to increase the profitability in all segments outside of robotics. For our high-volume products, we are now beginning to see the impact of this strategic initiative. During quarter 4, our average sales prices increased by around 9% compared with quarter 4 2024 at fixed exchange rates without us experiencing any significant effect on volumes. The impact is most felt in direct sales and indirect channels usually show a delay, but we expect further positive price effects to be seen during this year. Also during the quarter, our new PartnerPath distributor program was introduced on a broad scale, and this program aims to improve cooperation, sales and efficiency between us and our partners, which, among other things, will contribute to increased profitability. Highlighting the Ultrasound segment, the Ultrasound segment experienced a very high level of activity, both within hospitals but also in industrial customers. Although ultrasound sales increased by 48% compared to quarter 4 '24, the segment did not meet our growth expectations as pro forma sales, including the acquisition of Intelligent Ultrasound declined. The main reason for this decline we consider to be structural challenges within our own direct sales force, something that we've already addressed during the past quarter. For ultrasound, and you can see the picture of an ultrasound simulation product to the right, 3 new simulation modules were launched during quarter 4 and in January. One of these is targeted towards the diagnosis of endometriosis, which is a major health problem affecting 1 in 10 women. The module supports one of our focus areas, women's health, an area that is neglected in health care and where we have identified that our unique products and solution can create significant value and contribute to earlier diagnosis. This is one clear example of how Surgical Science fulfills our purpose of unlocking the full potential of every medical professional to improve health care outcomes and save lives. During quarter 1, you can expect the first products, which are based on the joint technology platform from Surgical Science and Intelligent Ultrasound to be launched. We are not yet done with the integration and still have a lot of work to do to realize the full synergies from the acquisition of Intelligent Ultrasound. Now moving over to Industry. The Robotics segment had a strong quarter. License revenue grew by 21% to SEK 92 million, which was an all-time high for the company. We saw strong license revenues from our largest customer, Intuitive as well as several other players in the U.S. and China. These other players are now beginning to install robots in significant numbers, which is in turn driving our license revenues. The collaboration with our largest customer, Intuitive, continued during the quarter. And in January '26, Intuitive announced that its system had been used on more than 20 million patients to date. This, together with the 18% growth in procedures during the quarter is clear evidence of the strong demand and broad adoption of robotic surgery. Both Intuitive and Surgical Science agree on the critical role that simulation plays in training robotic surgeons. Digital offerings are becoming increasingly important for robotics companies and Surgical Science is playing a central role in the development of these offerings. During the quarter, our customer, Johnson & Johnson, applied for a so-called De Novo classification in order to start marketing its Ottava robot for gastrointestinal procedures. Another customer, Medtronic, received FDA approval for the use of its Hugo robot in urological procedures in the U.S. And 2 days ago, Medtronic announced the first commercial surgery with Hugo robotic surgery system at the Cleveland Clinic in the U.S. There are now several hundred robot models that are either actively being sold or about to hit the market. Surgical Science is developing simulation solutions for most of the 20 largest robotics companies, and we feel very confident in the value and uniqueness of our offering in robotic surgery. We have a big and growing pipeline of robotics projects, and we see opportunities for deeper integration into our customers' digital offerings and our ability to create value for many years to come, in line with the recently presented strategy. The introduction of our latest simulator, RobotiX Express has been successful and sales and deliveries have started to pick up speed. 14 simulation exercises have been launched on the simulator so far, and the portfolio will be expanded on an ongoing basis. At the International Meeting on Simulation in Healthcare, IMSH in San Antonio in January, we showcased our products that are making use of AI technologies for the first time ever. In these products, AI is helping to analyze the instrument handling of laparoscopic surgeons and then recommend steps or skills for the surgeons to practice and improve. At the same time, within our core offering of real-time simulation of surgical procedures, we today see major limitations in the power and scalability of AI to handle and calculate models that could generate the complex real-time surgical simulation that our customers require. Therefore, Surgical Science's simulation technologies will continue to be the ultimate solution for high-quality real-time surgical simulation for the foreseeable future and Surgical Science's product experience will be improved significantly with the use of AI. Moving over to Medical Device Simulation. During quarter 4, continued progress was also made in strengthening the company's position within the medical device industry with a focus on endovascular applications. At the end of the year, the pipeline of ongoing development projects was 15% larger than at the same point in 2024. Our development revenue is project-based and may fluctuate between quarters and not fully reflect the underlying level of activity. At the end of '25, the proportion of repeat customers for development projects exceeded 70%, demonstrating that Surgical Science is making progress toward becoming an even more integrated and long-term partner to these customers. During the quarter, several important solutions were delivered to our customers, including the areas of peripheral artery disease and pulmonary thrombectomy. At the same time, sales of simulators to medical device companies for product-specific training fell to SEK 21 million compared with a very strong comparative quarter of SEK 43 million. So over to the strategy and the work going forward. Surgical Science's new strategy was presented at the Capital Markets Day in December last year. The aim is to continue growing the company profitably and establish a market-leading position within our 5 different market segments, all of which currently have low to very low penetration. We are now pursuing active internal efforts to deliver on the strategy and are seeing progress across all initiatives. And we feel very confident that this is the right strategy that will lead to increased shareholder value. Surgical Science is currently a world leader in medical simulation with a very strong brand. Our position is unique with market-leading products, strong and effective direct and indirect sales channels and an extensive medical expertise that our customers rely on for their training and development. Our global reach and support, which ensure reliability and presence are critical factors for our customers. 2025 has been a challenging year in many ways, particularly in relation to the news surrounding our largest customer, Intuitive and the development of our share price. At the same time, Surgical Science has made great strides forward in many respects and is now, in many ways, a significantly stronger company than it was a year ago. Demand for our product is growing steadily, driven by a greater need for training, increased digitalization and a more complex health care. I'm optimistic about the future where our solutions will become a central part of health care training and our ability to generate profitable growth over time. And with that, I would like to hand over to Anna to present the financials in more detail.
Anna Ahlberg: Thank you, Tom, and welcome, everyone. We start with sales. For the quarter then we had sales of SEK 269 million, up 7%. SEK 14 million came from Intelligent Ultrasound. And I should just mention, Intelligent Ultrasound is today renamed to Surgical Science UK, but we will still use IU when we talk about this acquired business throughout the presentation. And all IU sales are attributable to the Edu Products business area and the ultrasound product group. In local currencies, sales were up 15%. And we have, after Q1 of last year, since then seen a significant negative effect from currencies on our overall sales. And also on our result, that I will come back to that later. We are just below 80% of revenues in U.S. dollars. We are mitigating this as best we can, except for raising prices that Tom also talked about. We also now quote more countries in euros instead of in U.S. dollars, for example. However, this will not mean a very large change in the ratio between different currencies since a lot of our revenues originate from the U.S. Looking at the business areas, the split was 48% for Edu and 52% for Indu for the quarter, where then Edu was up 4%, but down 8% if we exclude IU. And as Tom mentioned, the Asia region declined 21% compared with the same quarter last year, and that was attributable to China having a weaker quarter, while countries such as Japan and the Philippines showed good sales. Sales in Europe was weaker than last quarter, meaning Q3, but still remained strong and increased by 4%. France and Poland did particularly well in this quarter. And then the comparative figure also includes a major order to Romania. But mentioning Poland, Poland, this market has been really strong for us during these last quarters. It was at an all-time high for last year as a total, and it is also our largest market in Europe. The North and South America region increased by 43% compared with the corresponding quarter last year. And this is attributable to the U.S., which is really nice to see since we have had some tougher quarters there. And this is even when excluding sales from Intelligent Ultrasound that is also -- that part of the business is our largest market. But even if we excluded it, the increase is attributable to the U.S. Indu, up 10%. We had, as mentioned, all-time high license revenues of SEK 92 million. Development revenues were also very strong, while simulator sales within the business area was weaker. I will come back to this when we look at the revenue streams on the next slide. But for the full year, then this means that sales were SEK 992 million. This is an increase of 12% or 19% in local currencies. And in that number, IU is included with SEK 75 million. Their sales for the full year was SEK 80 million. They are in our books and consolidated as of February 18, 2025. And that meant that in SEK, sales were down approximately 30%. This is largely attributable to the U.K. and lower sales to NHS. We've talked about that before, and it's something that we are, of course, not at all satisfied with. The U.K. market was also a market where we saw that sales should be coming from the full product range, also the other Surgical Science products as it then moved to being a direct market. However, and as Tom talked about, we do see a lot of positive signs for our ultrasound product group, where we are now merging our technologies, and we have really exciting products in the pipeline. Edu for the full year 2025 was up 13% and Indu 11%, where license revenues were up 11% for the year. And looking then at the revenue streams, license revenues for the quarter were 34% of our total revenues compared to 30% last year. We saw really good sales, both from Intuitive, and that was then both from dV5 as well as from the older generations, as well as a larger batch revenue order from one of our other robotic companies, customers. So as I think you're all aware of them, we did during the fourth quarter on November 25, received a cancellation from Intuitive on the memorandum of understanding that was signed in January. And this memorandum of understanding implied that all dV5s would be equipped with simulation from us. The cancellation meant that we now, as of January 1 this year, go back to the previous existing agreement between the companies and advanced simulation from us will only be offered to a minority of the customers. For the older generations such as Xi, for example, the agreement has not been changed. It was always an optional feature. And our estimate for this was and still is that it will impact license revenues negatively by SEK 60 million to SEK 90 million for this year. However, as we have also emphasized and Tom talked about it, we still have significant revenues from Intuitive, and we continue to work very closely together on a road map for future simulation. Moving on then to the next revenue stream, simulator sales that was as a whole down 12% compared to Q4 2024. This is due to the industry business area. This is more lumpy than for sales within Edu since it's usually tied to larger projects where development is also involved. And it sometimes also has to be seen together with development revenues. And as an example, the project that we have in Southeast Asian country, that is still in the development revenue phase. This will then during this year and towards the end of this project, move from being pure development revenues to pure simulator sales. So it is usually a mix of the 2 and the simulator sales also usually comes towards the end of the different projects. Development revenues then up a lot also for this quarter and the project that I just mentioned, here, we had revenues of USD 0.7 million, and we estimate the same for this quarter, Q1. So this is, of course, a factor for the increase, but not at all entirely. We had very good development revenues also for other customers. Our gross margin for the quarter was 66% versus 68% in Q4 2024. The fact that license revenue made up a higher share of total sales than in the corresponding period had a positive effect. However, currency effects have a large negative impact on the margin, approximately 2.3 percentage points. And unfortunately, the lower USD exchange rate has less impact on the cost of goods sold than on other cost items because our input goods are primarily purchased in other currencies than in dollars and also production and the associated wage costs, they are also not in U.S. dollars. Then another factor impacting the gross margin negatively that we have seen throughout the year and commented on is that we do have lower gross margin on the IU products. But then also on the positive side, we see that our price increases are starting to have an effect. And that is, as mentioned, something we will continue to pursue. Regarding OpEx, sales costs, they were 17% of sales for the quarter, 20% in the corresponding quarter. And here, we see that the reductions in the sales force following the acquisition of IU have now reached their full effect. And then for the quarter, we also had some lower costs of a more nonrecurring nature due to lower agency fees. This is attributable to sales in certain countries. So it depends on if we sell more or less to these countries. So that means that the cost level was maybe a bit on the low side because of this. But as I said, we have definitely lowered our level for the sales costs. And we have, during the year, also worked a lot with operational efficiency, and we have done reorganizations in line with this. Administration costs, 9% of sales, the same as Q4 last year and R&D costs, 22% of sales. We activated slightly less, SEK 9 million instead of SEK 10 million. And then we had, in this quarter, restructuring costs on this line of approximately SEK 3 million. And this is related to the termination of development personnel in Seattle. During Q4, we restructured our U.S. operations, and this resulted in us closing our Seattle office. We consolidated our operations to our office in Cleveland, and that is then our hub for all commercial activities and services and customer interaction. In Seattle, we had primarily development personnel. And so in connection with this restructuring, these employments were terminated. We still have a few other roles working remotely, and we have the lease for the Seattle office until October 2027. So as I mentioned, the quarter then saw the full impact of the cost reductions we've done after the acquisition of Intelligent Ultrasound. We have done more than we said we would do. We said between GBP 1.5 million and GBP 2 million. On an annual basis, we have done GBP 2.5 million and that then meant approximately SEK 8 million in the fourth quarter. Still then because of the lower sales that we discussed and lower than expected, primarily in the U.S. -- in the U.K., sorry, the operating result for IU was a loss for the quarter of approximately SEK 5 million. Other operating income and operating costs, that is then mainly costs for the company's option programs as well as the revaluation of operating assets and liabilities in foreign currencies. We had a negative impact on this line and on profits in the amount of approximately SEK 7 million during the quarter. And during Q4, we did an internal dividend from Israel. We are taking, as I mentioned also before, certain actions to reduce the effect of the weakening U.S. dollar. So we're both reducing intercompany items, and we also have as little cash as possible in USDs. So that's something we're working actively with. Following this then, our operating profit for the fourth quarter was SEK 40 million, corresponding to a margin of 15%. And for the full year, the FX effects that I mentioned before on the line other, that was a negative SEK 38 million then for the year. And if we exclude these and we also recalculate our revenues and costs with last year's exchange rates and also then exclude acquisition and restructuring costs for the year, and that was in an amount of SEK 30 million, then we reached an EBIT of SEK 177 million for the year or 17%. Organization-wise, we were 313 people at the end of the period, and that is 15 less than going out of Q3. The majority of the change then attributable to the closing of the Seattle office. With the IU acquisition, we added 48 people. And today, we have 11 less here. Adjusted EBIT for the quarter, the result was SEK 46 million. And as mentioned, we had some restructuring costs due to the closure of the Seattle office. Excluding those, we had an adjusted EBIT margin of 18%, same as last year. For the full year, then the adjusted EBIT margin was 12% compared to 19% in 2024. Finance net and taxes. no loan financing meant that net financial items that mainly consist of interest income on bank deposits and then also revaluation of some loan liabilities to subsidiaries, effect of IFRS is also impacting the finance net. Then regarding taxes for the year, the expense here is consists of estimated tax on profit for the year and the change in deferred tax assets. This year's tax expense includes U.S. taxes attributable to the previous year and also taxes that are not linked to taxable income. And combined with the effect of the loss in Intelligent Ultrasound, this means that the effective tax rate increased. And then also for the year, our profit includes the acquisition costs of approximately SEK 23 million. And those are not tax deductible. That is then also impacting the rate. And then cash flow. Cash flow from operating activities was SEK 73 million for the quarter compared to SEK 57 million for Q4 in 2024. Changes in working capital was really small, a small negative of SEK 3 million. Inventories were pretty much unchanged and accounts receivable decreased. Accrued income increased, and this is primarily due to higher license revenues, and they are then paid in the coming quarter, meaning now in Q1, and they have already been paid. So that basically means that the last day of the quarter is when this amount is at its highest. Investing activities, we invested approximately SEK 3 million in the quarter in our ongoing construction of new production facilities in Tel Aviv. We -- they are expected to be commissioned in the second quarter of this year. And then for financing activities, the larger amount underlying for lease liabilities is actually an adjustment in the quarter, so nothing to mention here for the year. And cash flow then was a positive of SEK 32 million for the quarter before FX adjustments. And we ended the year with SEK 616 million in our bank accounts. And with that, I hand back to you, Tom.
Tom Englund: Thank you, Anna. So to summarize, we believe that quarter 4 was a solid quarterly result and that Surgical Science is moving in the right direction. We see a continued rapid development of the company in a dynamic market where we can see positive signals both in our external work with our customers and in our internal efforts to create a stronger, more efficient and more profitable company. Our new strategy, which we also now execute on will make us a company with several more revenue streams and a company which addresses a significantly larger market than today. And with that, I would like to open the floor for questions.
Operator: [Operator Instructions] The next question comes from Simon Larsson from Danske Bank.
Simon Larsson: My first question is related to the strong growth for licenses here in the quarter. Is it possible to quantify the number of robotic customers that bought licenses here in Q4 and how that has developed versus, for example, let's say, a year ago? I'm just trying to understand the underlying strength given the expected negative Intuitive effect we will see from Q1. So any color on the strength or sort of the breadth of the license growth here would be helpful.
Tom Englund: Simon, Tom here. So we have said that we have 20 robotics companies as customers right now. And last quarter, it was around 5 of them who bought licenses from us.
Simon Larsson: Sorry, it was 20 active customers during Q4 or that's the total scope?
Tom Englund: That's the total number of customers that we have, robotics companies that we have, significant robotics companies that we have and about 5 of them had revenue streams this last quarter.
Anna Ahlberg: And as you know, Simon, that can vary between the quarters since most customers with the batch sales, it can vary between the quarters. That's what we commented on also throughout last year.
Simon Larsson: Yes. Understood. Understood. And then I guess my second and final question for this time at least. I noticed on the balance sheet, accrued income item has increased quite a lot if we look at both year-over-year and quarter-over-quarter. Is there any sort of special customer -- specific customer group that's sort of driving this increase in accrued income? Or yes, any help to understand the dynamic behind that figure would be also helpful.
Anna Ahlberg: Yes. That is what I just mentioned before on the cash flow that is due to -- primarily due to increased license revenues and it is being paid in the quarter after and for Q4, it has been paid. So that's the number I referred to as being sort of always at its highest at the last day of the quarter. So there's no like increased risk or that we accrue more in a different way than we've done before or anything like that. So it's really positive in a way. And again, they have been paid and are always paid in the quarter after.
Simon Larsson: Okay. So it should come down sequentially already in Q1 then unless it's a very big quarter again for licenses.
Anna Ahlberg: It varies a lot with the license revenues. Yes.
Operator: The next question comes from Ulrik Trattner from DNB Carnegie.
Ulrik Trattner: A few questions on my side, and I will limit it to 2, of course. But can you talk about the sales growth momentum in licenses for Intuitive if we were to exclude the dV5, given that this is the last quarter where it will be included as sort of basic skill simulation. Essentially, are you seeing growth outside of the dV5? And for '26, if we were to exclude the effects that you already quantified, would you expect that Intuitive would grow in 2026?
Tom Englund: In terms of in terms of attach rates, we see for the other products, not the dV5 that we have sort of the same attach rates that we've had before with the license sales. And so that means that the customers are actively using simulation within those products as well. And then regarding this news that Intuitive will only supply Surgical Science simulation to a subset of the dV5s, that we believe then will have a negative effect of SEK 60 million to SEK 90 million during the entire 2026 compared to 2025. And we have very sort of low visibility on the attach rate for our simulation solutions in the dV5 offerings here for the coming year, both when it comes to the full year and also the quarterly distribution and the quarterly attach rates.
Ulrik Trattner: Sure. But I was kind of aiming for here if we were to completely exclude the dV5 and just look at sort of the legacy platforms from Intuitive, the SP, the Xi, et cetera, et cetera. And I know it's a little transparency in terms of attach rate. But would you assume that there would still be any type of growth for those products?
Tom Englund: We will not go into more detail regarding the exact growth within the different product lines for our customer. And it also becomes very complex because, of course, Intuitive also has an exchange program where they exchange dV4s or [ dVXs ] to dV5 and so in certain geographies and in certain geographies, they do not. And that entire kind of dynamics is very difficult for us to get into. So we report this kind of overall general revenue impact that we think that it will have for 2026. And once again, we have limited visibility into exactly how this will play out.
Ulrik Trattner: Yes, I understand. And second question before getting back into the queue, and that would be on the cash flow side. And you reiterated that there will be some growth and some profit expected, not that sort of your targeted level. Is there anything that suggests that the cash flow for 2026 should not follow, i.e., are there sort of investments needed on your end? Or do you need to beef up working capital? Or are we to expect roughly sort of cash flow growing in the same extent as profits?
Anna Ahlberg: There are no structural changes when it comes to cash flow as it has looked before and going forward. No, we have no -- I mean, the investments we do is primarily in staff and in development personnel. I mentioned that we are investing now in a new production facility in Israel, but it's not -- I mean, it's not major amounts.
Operator: The next question comes from Christian Lee from Pareto Securities.
Christian Lee: Would it be possible to quantify the larger package order received from one of your robotics customers in Q4? And excluding this package, would license revenues still have shown year-on-year growth in Q4?
Tom Englund: Christian, we would not actually want to give that detail away when -- about these package orders, they become lumpy. I think that the main point here is that the robotics market is developing rapidly. And there's more and more players that are coming to market or are about -- or are already in the market. And many of these players are also customers to us. And that drives the demand for simulation and training on these robotic platforms in general. And that is kind of an accelerating trend that it's a long-term trend, and it's also kind of a revolution within health care right now. So overall, that will drive the need for simulation from Surgical Science. And then it will be lumpy, both because of the packages, as you say, certain quarters will have revenues when customers buy a large amount of packages or license packages from us. And it will also be driven by how quickly these robotics players will get their market acceptance and our customers. So you should think of this as an inherently attractive market to be in, in the long term with some fluctuations quarter-to-quarter.
Christian Lee: Okay. Understood. And my second question then is regarding the cancellation of the memorandum of understanding with Intuitive. Could you please elaborate on why the impact of this is having the magnitude of this -- magnitude if it relates solely to dV5? And could you also please elaborate on the key variables that determine whether the impact lands closer to SEK 60 million or SEK 90 million?
Tom Englund: So the dV5 is obviously the flagship product of Intuitive, and they will continue to sell the other products, the dVX and Xi as well alongside the dV5. And the sales focus right now is, of course, on the dV5 very much for the markets where dV5 has been launched. And for the markets where dV5 has not been launched, Intuitive continues to sell dVX and Xi. So the drop here in revenue, the SEK 60 million to SEK 90 million has, of course, to do with the delta of being available in all the different dV5 units that are shipped versus just a subset of it. When it comes to the factors that determine kind of where you land on the SEK 60 million or the SEK 90 million, it is very much related to the attach rate, which has been the same mechanics as with the previous models when we have sold simulation exercises in the X and Xi, we have spoken a lot about the attach rate. And it's then difficult for us to understand exactly how the attach rate will be on the dV5 given that there are so many factors at play here. So in terms of the rate at which dV5 grows in the market and so on, I mean, you can look at the Intuitive reports, it's around 18% procedural growth, and they have -- they also state the numbers of dV5 that they ship and so on. But I think that, that's pretty stable. It also has to do with how quickly their organization can actually install and get these systems active. So the main factor from our perspective is the attach rate.
Operator: The next question comes from Ulrik Trattner from DNB Carnegie.
Ulrik Trattner: And then another focus area, medical simulation outside of robotics. You enjoyed a very strong growth in 2024. We have seen quite a big decline in 2025, and now you talk about 15% increase in projects end of the year versus sort of end of the year last year. So what is to be expected from sort of these numbers and then what to be expected in 2026? And given the fact that there is a big fluctuations between the years in terms of both revenue and projects, one would assume that these are short-cycle projects, and that would assume that it's short-cycle revenue as well. So you should have a little bit higher visibility, right?
Tom Englund: Again. So regarding the growth here in the number of projects, the reason why we state this clearly in the report here about 15% is that it's a lead indicator for the simulator sales later on, right? So the development revenues, if we are successful with the development project, it will lead to simulator sales. And that simulator sales can either happen immediately where the customer buys a bulk orders of simulators can be spread out over several quarters or even several years. So the largest medical device order that we ever got, which we announced a few quarters back here, that will be a simulator sale that will go on for 3 to 4 years. So it's a lot dependent on kind of the size of the customer, the importance that our -- that the simulation that we sell into the importance of the product for that customer and how quickly they in turn can both educate and sell -- educate their organization and then sell their product in the market. So I think that the way you should look at it is that the more projects that we have, especially with big customers like Medtronic and Johnson & Johnson and Gore and so on, the higher the potential simulator sales should be over time. And it's, of course, very difficult then when you're a small P&L or a small revenue because then it gets lumpy, right, which is what we see here now. But then it's, of course, important to track the lead indicators, which is the number of returning customers and the growth in the number of development projects that you have. And I think that we can fairly say that now we have a quite healthy mix of the number of projects we have. We have a quite healthy mix towards larger players and larger potential projects and smaller players and quicker turnaround projects, both within development revenue and simulators.
Ulrik Trattner: Okay. That's great. Is it possible for you to quantify how many of your sort of medical device customers that are currently utilizing your simulation in sort of a commercial product rather in development?
Tom Englund: Yes, it's -- if you look back all years, I mean, it's going to be -- for all products, it's going to be somewhere around 30 or more, I would assume.
Ulrik Trattner: And these, in general, should generate recurring revenue, right?
Tom Englund: That's the idea. They are not all doing that today, but that's one part of the strategy and also one part of the profitability increase that we want to see in other parts than the license business and robotics. So that's something that we're working towards. You're absolutely right.
Ulrik Trattner: Sorry for being a stickler ballpark, out of the 30 or so that are on the market, how many of those are essentially today recurring products?
Tom Englund: A minority, a low percentage.
Anna Ahlberg: And then just...
Ulrik Trattner: Again, why would that be?
Tom Englund: Because usually they buy a solution today that consists of both hardware and software, the entire product packaging, right? They want to develop a medical device and they want to make a simulation for that. So they bring a part of the hardware and we build a simulator around and also develop the software, and that's sort of sold in a package. In the future, where we want to go is we want to create the hardware as a platform on which you can sell multiple software modules on. And we can also then have a more continuous value delivery where we can charge on these on a recurring revenue basis. Right now, we have taken the first step where we sell more software onto the same platform, but it's still not on a recurring basis. It's on a perpetual basis. So that's then the next step in the strategy.
Ulrik Trattner: So just I understand it correctly, the [indiscernible] that has been launched on to the market, they have essentially fulfilled their demand out there?
Tom Englund: Sorry...
Ulrik Trattner: In terms of installation -- in terms of devices, given that there are no sort of recurring revenue on these type of products of the [indiscernible] that has been launched, that implies that, I guess, they're used for training purposes, but that would assume that these products or sort of the number of devices placed have sort of fully supplied the market's demand and there is sort of...
Tom Englund: Sorry, you can't really look at it like that. If you take Medtronic, which is one of our absolutely biggest customers and where we provide a simulator for one of their key critical products, they are going to have an increasing demand of simulation as the revenue for their product increases, right? So there's going to be more sales and education staff that needs to be trained. It's also going to be more countries that are onboarded onto this product that also need to be educated. And that's -- it's almost like it's a product SKU for a specific company, but the company is so big, so it becomes like a marketing itself, right? So you can think of it as a recurring business also to continue to sell the hardware and the solution for several years to come. It's not like they place one bulk order and then it's over with. That's the 4 years that I spoke about before. So...
Ulrik Trattner: And then my second question would be on Intelligent Ultrasound. And just also going back to if I understood one of your comments correctly there, Anna, because I do note that the losses that IU brings is significantly lower here in the fourth quarter, whereas sales volumes are down sequentially as well from Q3. And did you talk about lower agency fees related to IU affect this result...
Anna Ahlberg: Sorry if that was unclear. No, it's not related to IU. That was more a general comment that the sales costs can go up and down depending on what countries we sell to or what structure we have and how they are paid, if it's more a rebate or if it's sort of commission and that can affect the sales cost line, and that's what happened in this quarter. So no, it was not...
Ulrik Trattner: Yes. Understood. And then the natural follow-up question would be, it looks like at least the losses are declining and it's becoming more manageable. Do you have any more levers to pull? Or is this more a game of hoping for volumes to increase in NHS funding coming back?
Tom Englund: In U.K. specifically, I mean?
Ulrik Trattner: I mean in IU specifically.
Tom Englund: We have many more levers to pull. They are 3 of them, it's sales and sales efficiency and the way we sell and market the product. It's product related, how we develop and package the products. That's why I spoke about in the CEO message that in this quarter and in the coming quarters, we will start releasing the ultrasound simulation products that carry the combined technical base of both Intelligent Ultrasound and Surgical Science, and that can actually also drive profitability. And then, of course, we can work on production improvements and COGS improvements to drive profitability. So there are several different angles you can improve, and we are working on all of them.
Ulrik Trattner: Perfect. And just sort of to be fully clear here, obviously, you don't want to guide, and I guess IU will not be disclosed as sort of separate EBIT contribution for 2026. But it would be fair to assume that given everything that you've done in terms of cost savings and the 3 points that you alluded to here that losses for IU would be lower compared to 2025, right?
Anna Ahlberg: Yes, because they have gone down sort of sequentially as we have done these restructurings and benefiting from the cost savings there. So yes, since they have the full effect in Q4, that's correct.
Tom Englund: Thank you. We have a question from the feed here from [ Austin Groves Family Office ]. Are you currently tracking with other major robotics players such as Medtronic or J&J to have similar penetration install rates as you do with Intuitive? In your discussions with non-Intuitive customers so far, are you competing with other customers for that business? What would you say is the main limiting factor holding that business back? And when, how will it be resolved? So are you currently tracking with other major robotics players such as Medtronic and J&J with penetration install rates? It's depending on the customers' requirements and the customers' wishes about how this customer wants to package the simulation, either as a mandatory piece, digital part of the full robotic experience or as an accessory that we sell on. So it depends a little bit from customer to customer. Some customers will have 100% attach rate of our simulation into their digital ecosystem and some customers will have a lower attach rate. It also depends a little bit on the different product models that these robotic companies have. We are -- we feel that we have a very high market share within robotic simulation for these robotic companies and that there is not that much other competition out there. And actually, frankly, it's not the competition holding us back. The main limiting factor holding us back is our capacity to create compelling simulations for our customers and tying this closely into the digital ecosystems of our customers. And the other limiting factor is how the robotic companies want to train the surgeons on the robotic consoles, meaning the integration of simulation into the training curriculum and training ecosystem of those robotic manufacturers and making sure that, that is smooth and easy from a surgeon's point of view. Those 2 things are holding us back. And then a third structural thing that is holding us back that we have addressed with this RobotiX Express is still that the training usually takes place in the operating room on the console itself. And that's a constraining factor, meaning because that console is also used for clinical procedures. And that we're solving them with our RobotiX Express, which is a generic robotic training that you can use outside of the operating room. So I hope that answers your question, Austin.
Anna Ahlberg: And then we have one more written question in the feed. If there are any one-off effects from switching from subscription to license model with the dV5. It is fully and will continue to be a full subscription model? So that is not the difference than the difference is, as Tom discussed before, the attach rate for the dV5. So that is the change, so to speak. And for the older generation, there is no change because that was also before offered as an option.
Tom Englund: So we have no further questions in the feed, and we have a few minutes left. Do we have any other questions, Anna?
Anna Ahlberg: I don't think so. No.
Tom Englund: Okay. But then thank you all for listening to this quarterly report, and I see you again soon. Take care. Bye-bye.
Anna Ahlberg: Thank you. Bye-bye.
Operator: Welcome to Surgical Science Q4 Report 2025 Presentation. [Operator Instructions] Now, I will hand over to the speakers, CEO, Tom Englund; and CFO, Anna Ahlberg. Please go ahead.
Tom Englund: Welcome to this earnings call for Surgical Science for the fourth quarter of 2025. My name is Tom Englund, CEO. And with me today, I have our CFO, Anna Ahlberg. We will first present a summary of quarter 4 and our results, and then we will have the Q&A session. We are pleased that like quarter 3, quarter 4 was a clear step in the right direction for Surgical Science. We had sales of SEK 269 million and grew by 15% adjusted for currency effects. And our license revenues almost exclusively from robotics companies were the highest ever reported at SEK 92 million, which was an increase of 21%. The adjusted EBIT amounted to SEK 46 million or 17%. On December 8, last year, we presented our new financial targets of annual sales growth of 10% to 15% with profitability of more than 15%. And it's gratifying to see that we're now delivering fourth quarter results in line with these targets. So if we move over to Educational Products. Performance in Educational Products was mixed with growth of 4%. North and South America showed strong growth of 43% with a good distribution between the different countries. And we are seeing a clear recovery now in this region compared with previous quarters with a higher customer activity and bigger sales pipelines. And we're also cautiously optimistic about the future. Asia, on the other hand, saw sales decline by 21%, driven by a continued challenging market situation in China with generally lower activity and demand. One of our strategic goals is to increase the profitability in all segments outside of robotics. For our high-volume products, we are now beginning to see the impact of this strategic initiative. During quarter 4, our average sales prices increased by around 9% compared with quarter 4 2024 at fixed exchange rates without us experiencing any significant effect on volumes. The impact is most felt in direct sales and indirect channels usually show a delay, but we expect further positive price effects to be seen during this year. Also during the quarter, our new PartnerPath distributor program was introduced on a broad scale, and this program aims to improve cooperation, sales and efficiency between us and our partners, which, among other things, will contribute to increased profitability. Highlighting the Ultrasound segment, the Ultrasound segment experienced a very high level of activity, both within hospitals but also in industrial customers. Although ultrasound sales increased by 48% compared to quarter 4 '24, the segment did not meet our growth expectations as pro forma sales, including the acquisition of Intelligent Ultrasound declined. The main reason for this decline we consider to be structural challenges within our own direct sales force, something that we've already addressed during the past quarter. For ultrasound, and you can see the picture of an ultrasound simulation product to the right, 3 new simulation modules were launched during quarter 4 and in January. One of these is targeted towards the diagnosis of endometriosis, which is a major health problem affecting 1 in 10 women. The module supports one of our focus areas, women's health, an area that is neglected in health care and where we have identified that our unique products and solution can create significant value and contribute to earlier diagnosis. This is one clear example of how Surgical Science fulfills our purpose of unlocking the full potential of every medical professional to improve health care outcomes and save lives. During quarter 1, you can expect the first products, which are based on the joint technology platform from Surgical Science and Intelligent Ultrasound to be launched. We are not yet done with the integration and still have a lot of work to do to realize the full synergies from the acquisition of Intelligent Ultrasound. Now moving over to Industry. The Robotics segment had a strong quarter. License revenue grew by 21% to SEK 92 million, which was an all-time high for the company. We saw strong license revenues from our largest customer, Intuitive as well as several other players in the U.S. and China. These other players are now beginning to install robots in significant numbers, which is in turn driving our license revenues. The collaboration with our largest customer, Intuitive, continued during the quarter. And in January '26, Intuitive announced that its system had been used on more than 20 million patients to date. This, together with the 18% growth in procedures during the quarter is clear evidence of the strong demand and broad adoption of robotic surgery. Both Intuitive and Surgical Science agree on the critical role that simulation plays in training robotic surgeons. Digital offerings are becoming increasingly important for robotics companies and Surgical Science is playing a central role in the development of these offerings. During the quarter, our customer, Johnson & Johnson, applied for a so-called De Novo classification in order to start marketing its Ottava robot for gastrointestinal procedures. Another customer, Medtronic, received FDA approval for the use of its Hugo robot in urological procedures in the U.S. And 2 days ago, Medtronic announced the first commercial surgery with Hugo robotic surgery system at the Cleveland Clinic in the U.S. There are now several hundred robot models that are either actively being sold or about to hit the market. Surgical Science is developing simulation solutions for most of the 20 largest robotics companies, and we feel very confident in the value and uniqueness of our offering in robotic surgery. We have a big and growing pipeline of robotics projects, and we see opportunities for deeper integration into our customers' digital offerings and our ability to create value for many years to come, in line with the recently presented strategy. The introduction of our latest simulator, RobotiX Express has been successful and sales and deliveries have started to pick up speed. 14 simulation exercises have been launched on the simulator so far, and the portfolio will be expanded on an ongoing basis. At the International Meeting on Simulation in Healthcare, IMSH in San Antonio in January, we showcased our products that are making use of AI technologies for the first time ever. In these products, AI is helping to analyze the instrument handling of laparoscopic surgeons and then recommend steps or skills for the surgeons to practice and improve. At the same time, within our core offering of real-time simulation of surgical procedures, we today see major limitations in the power and scalability of AI to handle and calculate models that could generate the complex real-time surgical simulation that our customers require. Therefore, Surgical Science's simulation technologies will continue to be the ultimate solution for high-quality real-time surgical simulation for the foreseeable future and Surgical Science's product experience will be improved significantly with the use of AI. Moving over to Medical Device Simulation. During quarter 4, continued progress was also made in strengthening the company's position within the medical device industry with a focus on endovascular applications. At the end of the year, the pipeline of ongoing development projects was 15% larger than at the same point in 2024. Our development revenue is project-based and may fluctuate between quarters and not fully reflect the underlying level of activity. At the end of '25, the proportion of repeat customers for development projects exceeded 70%, demonstrating that Surgical Science is making progress toward becoming an even more integrated and long-term partner to these customers. During the quarter, several important solutions were delivered to our customers, including the areas of peripheral artery disease and pulmonary thrombectomy. At the same time, sales of simulators to medical device companies for product-specific training fell to SEK 21 million compared with a very strong comparative quarter of SEK 43 million. So over to the strategy and the work going forward. Surgical Science's new strategy was presented at the Capital Markets Day in December last year. The aim is to continue growing the company profitably and establish a market-leading position within our 5 different market segments, all of which currently have low to very low penetration. We are now pursuing active internal efforts to deliver on the strategy and are seeing progress across all initiatives. And we feel very confident that this is the right strategy that will lead to increased shareholder value. Surgical Science is currently a world leader in medical simulation with a very strong brand. Our position is unique with market-leading products, strong and effective direct and indirect sales channels and an extensive medical expertise that our customers rely on for their training and development. Our global reach and support, which ensure reliability and presence are critical factors for our customers. 2025 has been a challenging year in many ways, particularly in relation to the news surrounding our largest customer, Intuitive and the development of our share price. At the same time, Surgical Science has made great strides forward in many respects and is now, in many ways, a significantly stronger company than it was a year ago. Demand for our product is growing steadily, driven by a greater need for training, increased digitalization and a more complex health care. I'm optimistic about the future where our solutions will become a central part of health care training and our ability to generate profitable growth over time. And with that, I would like to hand over to Anna to present the financials in more detail.
Anna Ahlberg: Thank you, Tom, and welcome, everyone. We start with sales. For the quarter then we had sales of SEK 269 million, up 7%. SEK 14 million came from Intelligent Ultrasound. And I should just mention, Intelligent Ultrasound is today renamed to Surgical Science UK, but we will still use IU when we talk about this acquired business throughout the presentation. And all IU sales are attributable to the Edu Products business area and the ultrasound product group. In local currencies, sales were up 15%. And we have, after Q1 of last year, since then seen a significant negative effect from currencies on our overall sales. And also on our result, that I will come back to that later. We are just below 80% of revenues in U.S. dollars. We are mitigating this as best we can, except for raising prices that Tom also talked about. We also now quote more countries in euros instead of in U.S. dollars, for example. However, this will not mean a very large change in the ratio between different currencies since a lot of our revenues originate from the U.S. Looking at the business areas, the split was 48% for Edu and 52% for Indu for the quarter, where then Edu was up 4%, but down 8% if we exclude IU. And as Tom mentioned, the Asia region declined 21% compared with the same quarter last year, and that was attributable to China having a weaker quarter, while countries such as Japan and the Philippines showed good sales. Sales in Europe was weaker than last quarter, meaning Q3, but still remained strong and increased by 4%. France and Poland did particularly well in this quarter. And then the comparative figure also includes a major order to Romania. But mentioning Poland, Poland, this market has been really strong for us during these last quarters. It was at an all-time high for last year as a total, and it is also our largest market in Europe. The North and South America region increased by 43% compared with the corresponding quarter last year. And this is attributable to the U.S., which is really nice to see since we have had some tougher quarters there. And this is even when excluding sales from Intelligent Ultrasound that is also -- that part of the business is our largest market. But even if we excluded it, the increase is attributable to the U.S. Indu, up 10%. We had, as mentioned, all-time high license revenues of SEK 92 million. Development revenues were also very strong, while simulator sales within the business area was weaker. I will come back to this when we look at the revenue streams on the next slide. But for the full year, then this means that sales were SEK 992 million. This is an increase of 12% or 19% in local currencies. And in that number, IU is included with SEK 75 million. Their sales for the full year was SEK 80 million. They are in our books and consolidated as of February 18, 2025. And that meant that in SEK, sales were down approximately 30%. This is largely attributable to the U.K. and lower sales to NHS. We've talked about that before, and it's something that we are, of course, not at all satisfied with. The U.K. market was also a market where we saw that sales should be coming from the full product range, also the other Surgical Science products as it then moved to being a direct market. However, and as Tom talked about, we do see a lot of positive signs for our ultrasound product group, where we are now merging our technologies, and we have really exciting products in the pipeline. Edu for the full year 2025 was up 13% and Indu 11%, where license revenues were up 11% for the year. And looking then at the revenue streams, license revenues for the quarter were 34% of our total revenues compared to 30% last year. We saw really good sales, both from Intuitive, and that was then both from dV5 as well as from the older generations, as well as a larger batch revenue order from one of our other robotic companies, customers. So as I think you're all aware of them, we did during the fourth quarter on November 25, received a cancellation from Intuitive on the memorandum of understanding that was signed in January. And this memorandum of understanding implied that all dV5s would be equipped with simulation from us. The cancellation meant that we now, as of January 1 this year, go back to the previous existing agreement between the companies and advanced simulation from us will only be offered to a minority of the customers. For the older generations such as Xi, for example, the agreement has not been changed. It was always an optional feature. And our estimate for this was and still is that it will impact license revenues negatively by SEK 60 million to SEK 90 million for this year. However, as we have also emphasized and Tom talked about it, we still have significant revenues from Intuitive, and we continue to work very closely together on a road map for future simulation. Moving on then to the next revenue stream, simulator sales that was as a whole down 12% compared to Q4 2024. This is due to the industry business area. This is more lumpy than for sales within Edu since it's usually tied to larger projects where development is also involved. And it sometimes also has to be seen together with development revenues. And as an example, the project that we have in Southeast Asian country, that is still in the development revenue phase. This will then during this year and towards the end of this project, move from being pure development revenues to pure simulator sales. So it is usually a mix of the 2 and the simulator sales also usually comes towards the end of the different projects. Development revenues then up a lot also for this quarter and the project that I just mentioned, here, we had revenues of USD 0.7 million, and we estimate the same for this quarter, Q1. So this is, of course, a factor for the increase, but not at all entirely. We had very good development revenues also for other customers. Our gross margin for the quarter was 66% versus 68% in Q4 2024. The fact that license revenue made up a higher share of total sales than in the corresponding period had a positive effect. However, currency effects have a large negative impact on the margin, approximately 2.3 percentage points. And unfortunately, the lower USD exchange rate has less impact on the cost of goods sold than on other cost items because our input goods are primarily purchased in other currencies than in dollars and also production and the associated wage costs, they are also not in U.S. dollars. Then another factor impacting the gross margin negatively that we have seen throughout the year and commented on is that we do have lower gross margin on the IU products. But then also on the positive side, we see that our price increases are starting to have an effect. And that is, as mentioned, something we will continue to pursue. Regarding OpEx, sales costs, they were 17% of sales for the quarter, 20% in the corresponding quarter. And here, we see that the reductions in the sales force following the acquisition of IU have now reached their full effect. And then for the quarter, we also had some lower costs of a more nonrecurring nature due to lower agency fees. This is attributable to sales in certain countries. So it depends on if we sell more or less to these countries. So that means that the cost level was maybe a bit on the low side because of this. But as I said, we have definitely lowered our level for the sales costs. And we have, during the year, also worked a lot with operational efficiency, and we have done reorganizations in line with this. Administration costs, 9% of sales, the same as Q4 last year and R&D costs, 22% of sales. We activated slightly less, SEK 9 million instead of SEK 10 million. And then we had, in this quarter, restructuring costs on this line of approximately SEK 3 million. And this is related to the termination of development personnel in Seattle. During Q4, we restructured our U.S. operations, and this resulted in us closing our Seattle office. We consolidated our operations to our office in Cleveland, and that is then our hub for all commercial activities and services and customer interaction. In Seattle, we had primarily development personnel. And so in connection with this restructuring, these employments were terminated. We still have a few other roles working remotely, and we have the lease for the Seattle office until October 2027. So as I mentioned, the quarter then saw the full impact of the cost reductions we've done after the acquisition of Intelligent Ultrasound. We have done more than we said we would do. We said between GBP 1.5 million and GBP 2 million. On an annual basis, we have done GBP 2.5 million and that then meant approximately SEK 8 million in the fourth quarter. Still then because of the lower sales that we discussed and lower than expected, primarily in the U.S. -- in the U.K., sorry, the operating result for IU was a loss for the quarter of approximately SEK 5 million. Other operating income and operating costs, that is then mainly costs for the company's option programs as well as the revaluation of operating assets and liabilities in foreign currencies. We had a negative impact on this line and on profits in the amount of approximately SEK 7 million during the quarter. And during Q4, we did an internal dividend from Israel. We are taking, as I mentioned also before, certain actions to reduce the effect of the weakening U.S. dollar. So we're both reducing intercompany items, and we also have as little cash as possible in USDs. So that's something we're working actively with. Following this then, our operating profit for the fourth quarter was SEK 40 million, corresponding to a margin of 15%. And for the full year, the FX effects that I mentioned before on the line other, that was a negative SEK 38 million then for the year. And if we exclude these and we also recalculate our revenues and costs with last year's exchange rates and also then exclude acquisition and restructuring costs for the year, and that was in an amount of SEK 30 million, then we reached an EBIT of SEK 177 million for the year or 17%. Organization-wise, we were 313 people at the end of the period, and that is 15 less than going out of Q3. The majority of the change then attributable to the closing of the Seattle office. With the IU acquisition, we added 48 people. And today, we have 11 less here. Adjusted EBIT for the quarter, the result was SEK 46 million. And as mentioned, we had some restructuring costs due to the closure of the Seattle office. Excluding those, we had an adjusted EBIT margin of 18%, same as last year. For the full year, then the adjusted EBIT margin was 12% compared to 19% in 2024. Finance net and taxes. no loan financing meant that net financial items that mainly consist of interest income on bank deposits and then also revaluation of some loan liabilities to subsidiaries, effect of IFRS is also impacting the finance net. Then regarding taxes for the year, the expense here is consists of estimated tax on profit for the year and the change in deferred tax assets. This year's tax expense includes U.S. taxes attributable to the previous year and also taxes that are not linked to taxable income. And combined with the effect of the loss in Intelligent Ultrasound, this means that the effective tax rate increased. And then also for the year, our profit includes the acquisition costs of approximately SEK 23 million. And those are not tax deductible. That is then also impacting the rate. And then cash flow. Cash flow from operating activities was SEK 73 million for the quarter compared to SEK 57 million for Q4 in 2024. Changes in working capital was really small, a small negative of SEK 3 million. Inventories were pretty much unchanged and accounts receivable decreased. Accrued income increased, and this is primarily due to higher license revenues, and they are then paid in the coming quarter, meaning now in Q1, and they have already been paid. So that basically means that the last day of the quarter is when this amount is at its highest. Investing activities, we invested approximately SEK 3 million in the quarter in our ongoing construction of new production facilities in Tel Aviv. We -- they are expected to be commissioned in the second quarter of this year. And then for financing activities, the larger amount underlying for lease liabilities is actually an adjustment in the quarter, so nothing to mention here for the year. And cash flow then was a positive of SEK 32 million for the quarter before FX adjustments. And we ended the year with SEK 616 million in our bank accounts. And with that, I hand back to you, Tom.
Tom Englund: Thank you, Anna. So to summarize, we believe that quarter 4 was a solid quarterly result and that Surgical Science is moving in the right direction. We see a continued rapid development of the company in a dynamic market where we can see positive signals both in our external work with our customers and in our internal efforts to create a stronger, more efficient and more profitable company. Our new strategy, which we also now execute on will make us a company with several more revenue streams and a company which addresses a significantly larger market than today. And with that, I would like to open the floor for questions.
Operator: [Operator Instructions] The next question comes from Simon Larsson from Danske Bank.
Simon Larsson: My first question is related to the strong growth for licenses here in the quarter. Is it possible to quantify the number of robotic customers that bought licenses here in Q4 and how that has developed versus, for example, let's say, a year ago? I'm just trying to understand the underlying strength given the expected negative Intuitive effect we will see from Q1. So any color on the strength or sort of the breadth of the license growth here would be helpful.
Tom Englund: Simon, Tom here. So we have said that we have 20 robotics companies as customers right now. And last quarter, it was around 5 of them who bought licenses from us.
Simon Larsson: Sorry, it was 20 active customers during Q4 or that's the total scope?
Tom Englund: That's the total number of customers that we have, robotics companies that we have, significant robotics companies that we have and about 5 of them had revenue streams this last quarter.
Anna Ahlberg: And as you know, Simon, that can vary between the quarters since most customers with the batch sales, it can vary between the quarters. That's what we commented on also throughout last year.
Simon Larsson: Yes. Understood. Understood. And then I guess my second and final question for this time at least. I noticed on the balance sheet, accrued income item has increased quite a lot if we look at both year-over-year and quarter-over-quarter. Is there any sort of special customer -- specific customer group that's sort of driving this increase in accrued income? Or yes, any help to understand the dynamic behind that figure would be also helpful.
Anna Ahlberg: Yes. That is what I just mentioned before on the cash flow that is due to -- primarily due to increased license revenues and it is being paid in the quarter after and for Q4, it has been paid. So that's the number I referred to as being sort of always at its highest at the last day of the quarter. So there's no like increased risk or that we accrue more in a different way than we've done before or anything like that. So it's really positive in a way. And again, they have been paid and are always paid in the quarter after.
Simon Larsson: Okay. So it should come down sequentially already in Q1 then unless it's a very big quarter again for licenses.
Anna Ahlberg: It varies a lot with the license revenues. Yes.
Operator: The next question comes from Ulrik Trattner from DNB Carnegie.
Ulrik Trattner: A few questions on my side, and I will limit it to 2, of course. But can you talk about the sales growth momentum in licenses for Intuitive if we were to exclude the dV5, given that this is the last quarter where it will be included as sort of basic skill simulation. Essentially, are you seeing growth outside of the dV5? And for '26, if we were to exclude the effects that you already quantified, would you expect that Intuitive would grow in 2026?
Tom Englund: In terms of in terms of attach rates, we see for the other products, not the dV5 that we have sort of the same attach rates that we've had before with the license sales. And so that means that the customers are actively using simulation within those products as well. And then regarding this news that Intuitive will only supply Surgical Science simulation to a subset of the dV5s, that we believe then will have a negative effect of SEK 60 million to SEK 90 million during the entire 2026 compared to 2025. And we have very sort of low visibility on the attach rate for our simulation solutions in the dV5 offerings here for the coming year, both when it comes to the full year and also the quarterly distribution and the quarterly attach rates.
Ulrik Trattner: Sure. But I was kind of aiming for here if we were to completely exclude the dV5 and just look at sort of the legacy platforms from Intuitive, the SP, the Xi, et cetera, et cetera. And I know it's a little transparency in terms of attach rate. But would you assume that there would still be any type of growth for those products?
Tom Englund: We will not go into more detail regarding the exact growth within the different product lines for our customer. And it also becomes very complex because, of course, Intuitive also has an exchange program where they exchange dV4s or [ dVXs ] to dV5 and so in certain geographies and in certain geographies, they do not. And that entire kind of dynamics is very difficult for us to get into. So we report this kind of overall general revenue impact that we think that it will have for 2026. And once again, we have limited visibility into exactly how this will play out.
Ulrik Trattner: Yes, I understand. And second question before getting back into the queue, and that would be on the cash flow side. And you reiterated that there will be some growth and some profit expected, not that sort of your targeted level. Is there anything that suggests that the cash flow for 2026 should not follow, i.e., are there sort of investments needed on your end? Or do you need to beef up working capital? Or are we to expect roughly sort of cash flow growing in the same extent as profits?
Anna Ahlberg: There are no structural changes when it comes to cash flow as it has looked before and going forward. No, we have no -- I mean, the investments we do is primarily in staff and in development personnel. I mentioned that we are investing now in a new production facility in Israel, but it's not -- I mean, it's not major amounts.
Operator: The next question comes from Christian Lee from Pareto Securities.
Christian Lee: Would it be possible to quantify the larger package order received from one of your robotics customers in Q4? And excluding this package, would license revenues still have shown year-on-year growth in Q4?
Tom Englund: Christian, we would not actually want to give that detail away when -- about these package orders, they become lumpy. I think that the main point here is that the robotics market is developing rapidly. And there's more and more players that are coming to market or are about -- or are already in the market. And many of these players are also customers to us. And that drives the demand for simulation and training on these robotic platforms in general. And that is kind of an accelerating trend that it's a long-term trend, and it's also kind of a revolution within health care right now. So overall, that will drive the need for simulation from Surgical Science. And then it will be lumpy, both because of the packages, as you say, certain quarters will have revenues when customers buy a large amount of packages or license packages from us. And it will also be driven by how quickly these robotics players will get their market acceptance and our customers. So you should think of this as an inherently attractive market to be in, in the long term with some fluctuations quarter-to-quarter.
Christian Lee: Okay. Understood. And my second question then is regarding the cancellation of the memorandum of understanding with Intuitive. Could you please elaborate on why the impact of this is having the magnitude of this -- magnitude if it relates solely to dV5? And could you also please elaborate on the key variables that determine whether the impact lands closer to SEK 60 million or SEK 90 million?
Tom Englund: So the dV5 is obviously the flagship product of Intuitive, and they will continue to sell the other products, the dVX and Xi as well alongside the dV5. And the sales focus right now is, of course, on the dV5 very much for the markets where dV5 has been launched. And for the markets where dV5 has not been launched, Intuitive continues to sell dVX and Xi. So the drop here in revenue, the SEK 60 million to SEK 90 million has, of course, to do with the delta of being available in all the different dV5 units that are shipped versus just a subset of it. When it comes to the factors that determine kind of where you land on the SEK 60 million or the SEK 90 million, it is very much related to the attach rate, which has been the same mechanics as with the previous models when we have sold simulation exercises in the X and Xi, we have spoken a lot about the attach rate. And it's then difficult for us to understand exactly how the attach rate will be on the dV5 given that there are so many factors at play here. So in terms of the rate at which dV5 grows in the market and so on, I mean, you can look at the Intuitive reports, it's around 18% procedural growth, and they have -- they also state the numbers of dV5 that they ship and so on. But I think that, that's pretty stable. It also has to do with how quickly their organization can actually install and get these systems active. So the main factor from our perspective is the attach rate.
Operator: The next question comes from Ulrik Trattner from DNB Carnegie.
Ulrik Trattner: And then another focus area, medical simulation outside of robotics. You enjoyed a very strong growth in 2024. We have seen quite a big decline in 2025, and now you talk about 15% increase in projects end of the year versus sort of end of the year last year. So what is to be expected from sort of these numbers and then what to be expected in 2026? And given the fact that there is a big fluctuations between the years in terms of both revenue and projects, one would assume that these are short-cycle projects, and that would assume that it's short-cycle revenue as well. So you should have a little bit higher visibility, right?
Tom Englund: Again. So regarding the growth here in the number of projects, the reason why we state this clearly in the report here about 15% is that it's a lead indicator for the simulator sales later on, right? So the development revenues, if we are successful with the development project, it will lead to simulator sales. And that simulator sales can either happen immediately where the customer buys a bulk orders of simulators can be spread out over several quarters or even several years. So the largest medical device order that we ever got, which we announced a few quarters back here, that will be a simulator sale that will go on for 3 to 4 years. So it's a lot dependent on kind of the size of the customer, the importance that our -- that the simulation that we sell into the importance of the product for that customer and how quickly they in turn can both educate and sell -- educate their organization and then sell their product in the market. So I think that the way you should look at it is that the more projects that we have, especially with big customers like Medtronic and Johnson & Johnson and Gore and so on, the higher the potential simulator sales should be over time. And it's, of course, very difficult then when you're a small P&L or a small revenue because then it gets lumpy, right, which is what we see here now. But then it's, of course, important to track the lead indicators, which is the number of returning customers and the growth in the number of development projects that you have. And I think that we can fairly say that now we have a quite healthy mix of the number of projects we have. We have a quite healthy mix towards larger players and larger potential projects and smaller players and quicker turnaround projects, both within development revenue and simulators.
Ulrik Trattner: Okay. That's great. Is it possible for you to quantify how many of your sort of medical device customers that are currently utilizing your simulation in sort of a commercial product rather in development?
Tom Englund: Yes, it's -- if you look back all years, I mean, it's going to be -- for all products, it's going to be somewhere around 30 or more, I would assume.
Ulrik Trattner: And these, in general, should generate recurring revenue, right?
Tom Englund: That's the idea. They are not all doing that today, but that's one part of the strategy and also one part of the profitability increase that we want to see in other parts than the license business and robotics. So that's something that we're working towards. You're absolutely right.
Ulrik Trattner: Sorry for being a stickler ballpark, out of the 30 or so that are on the market, how many of those are essentially today recurring products?
Tom Englund: A minority, a low percentage.
Anna Ahlberg: And then just...
Ulrik Trattner: Again, why would that be?
Tom Englund: Because usually they buy a solution today that consists of both hardware and software, the entire product packaging, right? They want to develop a medical device and they want to make a simulation for that. So they bring a part of the hardware and we build a simulator around and also develop the software, and that's sort of sold in a package. In the future, where we want to go is we want to create the hardware as a platform on which you can sell multiple software modules on. And we can also then have a more continuous value delivery where we can charge on these on a recurring revenue basis. Right now, we have taken the first step where we sell more software onto the same platform, but it's still not on a recurring basis. It's on a perpetual basis. So that's then the next step in the strategy.
Ulrik Trattner: So just I understand it correctly, the [indiscernible] that has been launched on to the market, they have essentially fulfilled their demand out there?
Tom Englund: Sorry...
Ulrik Trattner: In terms of installation -- in terms of devices, given that there are no sort of recurring revenue on these type of products of the [indiscernible] that has been launched, that implies that, I guess, they're used for training purposes, but that would assume that these products or sort of the number of devices placed have sort of fully supplied the market's demand and there is sort of...
Tom Englund: Sorry, you can't really look at it like that. If you take Medtronic, which is one of our absolutely biggest customers and where we provide a simulator for one of their key critical products, they are going to have an increasing demand of simulation as the revenue for their product increases, right? So there's going to be more sales and education staff that needs to be trained. It's also going to be more countries that are onboarded onto this product that also need to be educated. And that's -- it's almost like it's a product SKU for a specific company, but the company is so big, so it becomes like a marketing itself, right? So you can think of it as a recurring business also to continue to sell the hardware and the solution for several years to come. It's not like they place one bulk order and then it's over with. That's the 4 years that I spoke about before. So...
Ulrik Trattner: And then my second question would be on Intelligent Ultrasound. And just also going back to if I understood one of your comments correctly there, Anna, because I do note that the losses that IU brings is significantly lower here in the fourth quarter, whereas sales volumes are down sequentially as well from Q3. And did you talk about lower agency fees related to IU affect this result...
Anna Ahlberg: Sorry if that was unclear. No, it's not related to IU. That was more a general comment that the sales costs can go up and down depending on what countries we sell to or what structure we have and how they are paid, if it's more a rebate or if it's sort of commission and that can affect the sales cost line, and that's what happened in this quarter. So no, it was not...
Ulrik Trattner: Yes. Understood. And then the natural follow-up question would be, it looks like at least the losses are declining and it's becoming more manageable. Do you have any more levers to pull? Or is this more a game of hoping for volumes to increase in NHS funding coming back?
Tom Englund: In U.K. specifically, I mean?
Ulrik Trattner: I mean in IU specifically.
Tom Englund: We have many more levers to pull. They are 3 of them, it's sales and sales efficiency and the way we sell and market the product. It's product related, how we develop and package the products. That's why I spoke about in the CEO message that in this quarter and in the coming quarters, we will start releasing the ultrasound simulation products that carry the combined technical base of both Intelligent Ultrasound and Surgical Science, and that can actually also drive profitability. And then, of course, we can work on production improvements and COGS improvements to drive profitability. So there are several different angles you can improve, and we are working on all of them.
Ulrik Trattner: Perfect. And just sort of to be fully clear here, obviously, you don't want to guide, and I guess IU will not be disclosed as sort of separate EBIT contribution for 2026. But it would be fair to assume that given everything that you've done in terms of cost savings and the 3 points that you alluded to here that losses for IU would be lower compared to 2025, right?
Anna Ahlberg: Yes, because they have gone down sort of sequentially as we have done these restructurings and benefiting from the cost savings there. So yes, since they have the full effect in Q4, that's correct.
Tom Englund: Thank you. We have a question from the feed here from [ Austin Groves Family Office ]. Are you currently tracking with other major robotics players such as Medtronic or J&J to have similar penetration install rates as you do with Intuitive? In your discussions with non-Intuitive customers so far, are you competing with other customers for that business? What would you say is the main limiting factor holding that business back? And when, how will it be resolved? So are you currently tracking with other major robotics players such as Medtronic and J&J with penetration install rates? It's depending on the customers' requirements and the customers' wishes about how this customer wants to package the simulation, either as a mandatory piece, digital part of the full robotic experience or as an accessory that we sell on. So it depends a little bit from customer to customer. Some customers will have 100% attach rate of our simulation into their digital ecosystem and some customers will have a lower attach rate. It also depends a little bit on the different product models that these robotic companies have. We are -- we feel that we have a very high market share within robotic simulation for these robotic companies and that there is not that much other competition out there. And actually, frankly, it's not the competition holding us back. The main limiting factor holding us back is our capacity to create compelling simulations for our customers and tying this closely into the digital ecosystems of our customers. And the other limiting factor is how the robotic companies want to train the surgeons on the robotic consoles, meaning the integration of simulation into the training curriculum and training ecosystem of those robotic manufacturers and making sure that, that is smooth and easy from a surgeon's point of view. Those 2 things are holding us back. And then a third structural thing that is holding us back that we have addressed with this RobotiX Express is still that the training usually takes place in the operating room on the console itself. And that's a constraining factor, meaning because that console is also used for clinical procedures. And that we're solving them with our RobotiX Express, which is a generic robotic training that you can use outside of the operating room. So I hope that answers your question, Austin.
Anna Ahlberg: And then we have one more written question in the feed. If there are any one-off effects from switching from subscription to license model with the dV5. It is fully and will continue to be a full subscription model? So that is not the difference than the difference is, as Tom discussed before, the attach rate for the dV5. So that is the change, so to speak. And for the older generation, there is no change because that was also before offered as an option.
Tom Englund: So we have no further questions in the feed, and we have a few minutes left. Do we have any other questions, Anna?
Anna Ahlberg: I don't think so. No.
Tom Englund: Okay. But then thank you all for listening to this quarterly report, and I see you again soon. Take care. Bye-bye.
Anna Ahlberg: Thank you. Bye-bye.